Operator: Welcome to the Royal Dutch Shell 2021 Q2 Results Announcement Question-and-Answer Session. Today's session will be recorded. [Operator Instructions] I would now like to introduce Mr. Ben Van Beurden and Mrs. Jessica Uhl.
Ben Van Beurden: Well, welcome, everyone, to the live Q&A session on Shell's second quarter 2021 results. This quarter's performance is a result of the strength of our portfolio and how well positioned we are for the economic recovery. We're delivering sector-leading cash and making progress towards becoming a net 0 emissions energy business. And we're stepping up our shareholder distributions today while continuing to invest for the future of energy. We are rebasing our dividends to USD 0.24 per share from Q2 2021, and we're launching buybacks of up to USD 2 billion for the second half of 2021. And today, Jessica and I will be answering your questions, and we really look forward to them. So please could we just have 1 or 2 each, so everyone has the opportunity to ask one. And with that, Cecilia, could we have the first question, please?
Operator: We will now take our first question from Christyan Malek from JPMorgan.
Christyan Malek: So first of all, congratulations on a great result, Ben and Jessica. And 2 questions, if I may. First on cash CapEx. So spend guided to around $22 billion this year. How responsive would you be in terms of your CapEx frame over the next few years with respect to an improving macro backdrop? And so effectively, how fast could spend trend towards the top end of the company's sort of medium-term range of $23 billion, $27 billion? And the second question, again, sorry, on capital frame regarding the cash return upside. How do you think about the split between dividends and buybacks in terms of how it trends over the coming years with a potential stronger macro backdrop? And what will determine the total payout within the 20% to 30% cash flow range?
Ben Van Beurden: Yes. Thanks very much, Christyan. Let me take the second one. Jessica will talk to the cash CapEx one. I think in terms of the financial framework, I think messages today hopefully are very clear. So first of all, we felt that with the free cash flow that we are generating today, $9.7 billion in this quarter, but actually a very confident outlook for the quarters ahead as well. We thought that the balance between the dividend and the share buybacks needed to be more clearly also towards a dividend payout. It's very clear that we would do the step-up. We always said we would do at $65 billion, but we felt having a dividend at the level that we had it, even though it is a progressive dividend, was just not material enough to matter in relation to the cash flow performance that we're having. So that's why we rebase it. We reset it. We're not in the business of resetting this annually, but this is the new dividend level by which we want to signal not only strength but also confidence in the future. So looking forward, we very much believe that this is going to be a progressive dividend story with a variable component of share buybacks on top of it pretty much as per the capital framework that we have laid out back in October last year. Jessica, on the cash CapEx?
Jessica Uhl: Thanks, Ben, and thanks, Christyan, for the question. Good afternoon, everyone. Thanks for joining the call. In terms of the quantum of cash CapEx going forward, a couple of things to keep in mind. We've made significant progress in terms of our capital stewardship, both in terms of discipline but also getting more from each dollar spent, and that trend we look to continue going forward. We signaled -- or we've indicated we don't look -- we don't expect CapEx to go above $22 billion this year. Again, that's to signal our discipline, but also our ability to deliver our strategy at these -- at this level of CapEx. Going forward, as we've moved to the second part of our capital allocation framework, we will expect to spend a bit more in terms of CapEx to fund the energy transition, to fund our strategy, but we'll do it in a measured way, much like we've shown in the last couple of years in terms of discipline. We will do it in a disciplined and measured way as we go from the $19 billion to $22 billion frame to a $23 billion to $27 billion frame. So I don't expect us to get to the top of that range particularly quickly. We'll do it in step. And of course, that is tied to the macro environment that we're operating in, the cash generation from the business. But as you see in the second quarter, the company responds very well to improving macro conditions, generating significant cash. And we think the future looks relatively bright from a macro perspective and also in terms of our generation. So look forward to getting to that next stage of our CapEx framework in 2022.
Ben Van Beurden: Okay. Thanks, Christyan, for acknowledging our cash generation and our earnings.
Operator: Biraj Borkhataria from Royal Bank of Canada.
Biraj Borkhataria: Two, please. The first one is on divestments. There were some reports recently about you potentially looking to divest to the Permian. And I was wondering whether you can make any comments on that given it was highlighted as one of your 9 core upstream regions. And then the second thing -- second question is on refinery sales. I mean on the surface, it doesn't look like a good time to be selling a refinery. And I'm looking at your Slide 12, which shows that this is clearly one way of hitting or showing progress on your carbon intensity metrics, which is something you've been pressured to do. So I guess the risk with asset sales is you may leave some value on the table. I just wanted to ask, is my understanding that as you're divesting these assets, you typically sign supply and trading agreements with the buyer, so you maintain flexibility? That's obviously something that we don't get many details on. So firstly, is that generally the case? And is there any color you can provide on how important that is in terms of the economics of these transactions because ultimately something we just don't see. We just see the headline values. So any color there would be appreciated.
Ben Van Beurden: Yes. Thanks, Biraj. Great questions. Let me take them both. On the first one, I can be actually quite short. I’ve seen the rumors as well. We don’t comment on rumors. And I didn’t think today was a particularly good day to start changing that practice. So I’m afraid you will have to live with that. In terms of refineries, yes, we’ve made good progress in the last few years. You see in the chart, we started with 54 refineries back in 2004. We’re down to 8 now. We will go to 5. And then indeed, these refineries will not just be refineries, they will be part of integrated energy and chemical parks. Now indeed, selling refineries is not always easy. But I’ll be very clear, we have been making very good returns out of selling these refineries. We have, by and large, divested them for value. And then you’re also right in the sense that quite often, these refineries, of course, have integration value associated with it. Now the integration value with chemicals, we hold because these are typically the sites that we also want to hold. But integration value with our trading and supply operations, we quite often are also able to hold on to because new buyers quite often quite like the idea of having advantaged supply contracts into it or lifting contracts out of it. So quite often, we are able to find a win-win arrangement where we will hold on to part of the value while sharing it also in the deal with the buyers. And as I said, I’m very pleased with the progress that we have made there. Now in terms of emission reductions, indeed, if you look at the divestments in refining that we have done since 2018, we – and then you take into account the divestments of this year, we expect to have over 50% reduction in our Scope 1 and 2 emissions. And bear in mind, refining is the single biggest component in our Scope 1 emissions in the company. Most of the Scope 1 emissions, 70 million tonnes, come from refining and chemicals. So changing that footprint actually is a significant contribution as well. That’s not the reason why we do it, but it just happens to help. Thank you very much, Biraj.
Operator: Jon Rigby from UBS.
Jon Rigby: Congratulations on the change to distribution. I think that's a very important signal around the performance we've seen over the last few quarters. I think just 2 questions. The first was to come back to a question I think I asked in the first quarter, which is about the integrated gas business. Because if there was one place where I might have a net, it seems to be that the integrated gas, which was a standout stellar performer for such a long time. It's really sort of slowed right down in the last, I'd say, 4 quarters or so. And I think I asked in the first quarter whether it was something structural, and I think you said no. But maybe if not structural, is there sort of a short- to medium-term headwind on that business that is stopping you participating in what look sensibly like very good LNG market conditions? I know you've called out Peru and Trinidad. So maybe some sort of medium-term discussion or guidance around the performance of that business will be helpful, please. Because obviously, things like optimization and trading is fairly low visibility for us. The second is, and maybe this is from a more optimistic point of view, is that I noticed your Oil Products business generated a very good return. But some of the other activity, which I think includes aviation and obviously lubricants, are still probably below where we would expect them to be in normal conditions. So there's obviously some upside potential in that. So I just wonder whether you can make some comments about where you think particularly the aviation and lubes businesses are after the second quarter.
Ben Van Beurden: Thanks, Jon, and thanks for acknowledging the strong results. Jessica, would you mind talking about IG? I'll talk about our products.
Jessica Uhl: Good. So Jon, thanks for the question. With Integrated Gas, we have a great business and a soft quarter. And we've had, as you've noted, relatively soft quarter when considering the price environment that we're in. But let me tease out a few things. First of all, in '19 and in -- 2019 and 2020, we had some pretty extraordinary external market events that the Integrated Gas business was able to take advantage of. When those quarters happened, I did point out these were pretty extraordinary quarters, and we shouldn't consider that kind of normal course of business. So I think there's been some unusually good quarters in 2019 and 2020 that can perhaps ground people to an average that was a bit higher than perhaps it should be. Looking to this year, specifically, and in the second quarter, we have had some softness. If you look at the production levels and importantly, LNG liquefaction levels, that's been a combination of factors. It has been some gas supply issues in a couple of our assets, and there's been some operational issues as well. And it's that supply issue that's really been the main feature for the second quarter. Those aren't long-term structural issues. We will resolve gas supply. We will resolve the operational issues. In some instances, that will be weeks. In some instances, that may be months. So we'll see some of this going into the second quarter in terms of what's impacting the business. But the fundamentals of the business we continue to believe in, we think we have a privileged supply portfolio. Overall, we've got privileged relationships in terms of the demand relationships that we have. And of course, there's new opportunities that are emerging in this business as well. So we've seen some of the risks. So I realize that we have to keep in mind the opportunities as well and things like our carbon-neutral LNG that we're delivering in places like China, the opening up of new markets from a regas perspective or from a shipping perspective. So there's also important new milestones in terms of growing the business that will underpin, we think, the long-term strengths and overall, the fundamentals for the Integrated Gas business we continue to believe are quite good. Ben?
Ben Van Beurden: Yes. Thanks very much, Jessica. I think on the OP side, it has been a very strong quarter. I think it’s the best quarter since Q3 2020, which was actually an outstanding quarter. And I think in retail, it is the second best quarter. So altogether, indeed, the marketing business is doing well in this environment. Now volumetrically, we are not entirely there yet, Jon. So first of all, on retail, we are, I think, globally back to about 90% of prepandemic levels. So a little bit of variation across the different regions. But it’s approximating again to where we were. If you look at our nonfuel retailing, by the way, that is significantly ahead. I think it’s more like 125% in terms of contribution. And indeed, you’re also right, aviation is lagging behind. I think aviation globally were probably something like 45% of what the volumetric levels were in prepandemic period. And that’s obviously not surprising because even though aviation is picking up, intercontinental flights are still pretty much lagging. Lubricants were back to 100%. And I do believe our lubricants business is performing well also in terms of margin. So altogether, I would say, quite happy with how the marketing business has responded. Very good minds in management, very good discovery of new scenes of value. And I think also more potential to come because ultimately, even though we may still see a little bit of lagging, the recovery in aviation will come as well at this point in time. So thanks very much, Jon.
Operator: Michele Della Vigna with Goldman Sachs.
Michele Della Vigna: Congratulations on the strong results. I had 2 questions, if I may. The first one goes back to the shutdowns you've experienced in your LNG business. It doesn't seem to be unique. There seems to be a pretty broad trend across the industry of unplanned shutdown, which is not fully unexpected, given that we've just been through 1.5 years of very reduced maintenance. I was just wondering, how long you think it will take for the industry as a whole or perhaps for Shell specifically to digest this backlog of maintenance and effectively go back to normal asset reliability? My second question is about decarbonization. You've made some very strong commitment to decarbonization. You've signaled an intention to even upgrade those commitments following the Dutch ruling. And all of that is very consistent with what we are seeing, for instance, in Europe in terms of policy. But if we look on a global basis and looking, for instance, at the inability of the G20 meeting last week to reach any form of global agreement and understanding about it, the risk is that you could make a commitment which makes perfect sense for Europe, but which ultimately doesn't reflect the reality of shifting demand on a global basis. How do you think strategically about this clear contrast between your aspiration, European aspiration about what could be a very different global outcome?
Ben Van Beurden: Yes. Great question, Michele. Let me take the second one first, and Jessica will take the LNG one again. So I think your observation is correct. We are indeed, in my mind, also a leader when it comes to decarbonization in our industry. And indeed, we have said very clearly that we will upgrade, accelerate, step up, et cetera. That part of it, of course, was exactly what we did in SD21. Our strategy announcements in February, which, by the way, came after the hearings of the court ruling, but I believe our Powering Progress strategy is very much a statement of stepping up and of accelerating. And indeed, following the court ruling, we now have to examine what else, if any, we can do. Now one thing is pretty clear. We didn't say very much in our Scope 1 and 2 emissions in February and in the document that our shareholders voted on at the AGM other than to say that we'll go to 0 by 2050. And a court ruling basically introduces a waypoint that says minus 45% by 2030. And I've been very clear. That's a challenge we will step up to. We are studying and examining what it would take, whether we could do it, et cetera, et cetera. You would have seen that we are making progress already on the refining side. And if we believe that, that is very clear how and if and when we can do it, we will, again, go back to our shareholders and say, "This is what's stepping up to that challenge means." Now to Scope 3, 45%, which, of course, is a significant best effort obligation, that's a different matter. We cannot go faster than society. That is just the reality. Maybe inconvenient for society, but it's also true. So here, we say we go as fast as we can. Our strategy is all about helping our customers decarbonize. And yes, but 45% is doable, remains a big question indeed. I would be delighted, by the way, if we managed to do it. But if I now look at, to your point, what the EU is saying with the Fit for 55 package, which we completely endorsed, by the way, in the sectors that we are serving in that package, it roughly is half of that 45%. So you can, I think, legitimately ask yourself the question, how realistic is it for us to aim for a 45% reduction? If the most progressive, most aggressive jurisdiction in the world can only master half of that. Now that's also the reason, by the way, we appeal. But it doesn't mean that we won't be pushing when it comes to decarbonization of the economies sectors in the world. Jessica?
Jessica Uhl: Great. Michele, in terms of what are some of the dynamics at play in the LNG industry more broadly. While there have been maintenance issues happening in many assets within the Shell portfolio and across kind of the LNG industry, I’m not aware of it being a thematic issue around backlog maintenance. And certainly within the Shell family of assets, it’s been pretty disparate issues at play. So there’s not a theme that there was maintenance activities that hadn’t been gotten to, and therefore, these are the implications of it. Not at all. We’ve been very careful through the pandemic to ensure that asset integrity and maintenance gets the right level of attention. And there’s pretty distinct issues at play with our assets. So I don’t think it’s a backlog issue so much. As I said, there’s a maintenance piece to it. There’s a gas supply piece to it. That gas supply is coming from third parties. It’s not necessarily the Shell portfolio at play that’s causing some of these outcomes. And as I indicated before, I think some of these issues will resolve in weeks. Some of them will take some months. So I will expect some of this impact going into the second half of the year. But once again, I don’t see these as structural issues certainly for our portfolio. And I would just emphasize that the fundamentals of the LNG business we continue to believe are very strong. If you look at the volumes we’ve achieved or the industry has realized in the first half of 2020, it’s some 10% higher than it was at prepandemic levels. So I think that’s a good solid indication of the demand for LNG. And as I mentioned, I think there’s many more opportunities for us, whether it be from a shipping perspective, changing out coal for gas in the power sector or decarbonizing LNG through NBS and other means. I think there’s still a lot of opportunity that will create more value creation opportunities for us going forward.
Operator: Christopher Kuplent from Bank of America.
Christopher Kuplent: This will sound familiar to you, but you've obviously said you are trying to accelerate your decarbonization efforts. And I wondered how much at all is possible without more disposals. To your point on refining a 50% reduction, I wonder how much of that 50% reduction from '18 to '21, I'm not sure whether you can tell us, comes from the disposals you've made. And all the good things that we know about your plan for hydrogen, carbon capture, even things, Jessica, that you just mentioned in terms of net 0 LNG, et cetera, they, to me, will take quite a lot longer than you have to appeal this court decision. So I wonder how you view the immediate reality, what that means accelerating decarbonization. Also if you could perhaps link that into your budget discussion. And then lastly, as a second question, I just wanted to come back to you and ask about the dividend reset again. You are calling it a reset. Is this very much a one-off? And perhaps you can let us know a little bit more in detail how you came up with $0.24, who you benchmark that against, and why you feel happy with $0.24, not $0.30, not $0.20.
Ben Van Beurden: Yes. What's in a number. Thank you very much. I'll take the first one. Jessica will talk about the dividend this time. I think just let's be very clear on the acceleration and the disposals piece. So let we talk about Scope 1 and 2 emissions. That's about 70 million tonnes, plus 10 million tonnes out of a total of 1.7 gigatonnes. That you can address if you wanted to through disposals. And it will be a combination of some closures, disposals of refineries, rightsizing, efficiency improvement, CCS, electrification, all of that, that will drive us towards, shall we say, minus 45% and ultimately to 0. But that is actually a very small amount of our emissions, and it will require a modest amount of capital that we were going to spend on high grade in these facilities anyway. If you talk about accelerating the Scope 3 emission reductions, disposals don't work, yes, [indiscernible] assets. The only thing you can dispose of is customers, which is obviously not a meaningful strategy. And that's, again, why we are appealing. So yes, disposal have their role in Scope 1 and 2. When it comes to addressing Scope 3 emissions, it is actually changing your product portfolio and therefore, changing our business models. That's not always as well understood as I would like it to be, hence, once more the clarification here. Jessica?
Jessica Uhl : Great. Christian, so in terms of how we landed on $0.24 and why that’s the right number for Shell. First of all, we looked at the actual performance of the company over the last 12 to 18 months, which was a great example of our ability and capacity to deal in a pretty stressful set of external, and to some extent, internal circumstances. So we looked at the performance of the company, the assets, the people, the cash generation, the financial outcomes, all very strong and robust in a very stressed set of circumstances. We considered the outlook. How do we feel about the macro? What does it look like in terms of the fundamentals of the business for the next 6-, 12-, 24-, 36-plus months? And again, we’re feeling very good about the pace and level of recovery that we’re seeing in the business. We then think about what’s resilient through a variety of different outcomes. We’ve all seen how volatile it’s always been to some extent. But I think particularly so over the last couple of years, we’ve stress tested our financial framework at very low levels of prices and margins. We do consider the upside, but we’ll probably spend a bit more time on the downside, particularly from a resilience perspective when considering what is the right dividend level for the company. And of course, we consider the investment case and how do we ensure we’re providing compelling returns for our shareholders. You bring all of that together, we landed on 7.5 – the $0.24 number, which is $7.5 billion in total dividend quantum. And of course, we retain our overall capital allocation framework, which has the progressive dividend, which gives us another opportunity for us to increase dividends per share by 4% year-on-year. And of course, we keep the opportunity and flexibility to do share buybacks. And at this share price level, a very compelling case for us to continue to reduce our share count. And so that remains a priority for us. And therefore, on balance, we think $7.5 billion is resilient and importantly, compelling, a more meaningful number for our shareholders. That’s important for us. And the share buybacks will give us further flexibility to increase shareholder distributions going forward.
Operator: Martijn Rats from Morgan Stanley.
Martijn Rats: Also from my side, congratulations with this set of announcements. I think it's extremely welcoming. I have two questions. First of all, I know these days, we talk about many other things, but oil is still such an important part of the business. And it's notable that the production, specifically of oil, so not on a BOE basis, but specifically oil, is still down even relative to 2Q last year. And this is actually something that is also quite visible in many of your peers. So there seems to be more of an industry trend rather than anything else. And with CapEx levels sort of kind of sort of being where they are, you could start to wonder whether bringing back all these non-OPEC supply may actually not be so easy. Now I don't want to sort of lead you in a certain direction, but when you put these 2 things together, the level of production versus the level of CapEx, what you're seeing in your own business, what you're perhaps seeing with your peers, I was wondering if you could give us your thoughts on how you think the recovery of oil production will likely take place specifically outside of OPEC, of course. And the second one that I wanted to ask is about the IPO of Raizen, which was sort of announced a little while ago. And I think that process is ongoing. And I was wondering if you could give us your thoughts on sort of why this is -- sort of why this transaction is taking place. Is it mostly Shell-driven? Or is it mostly Cosan-driven? How do you -- is Shell actually selling shares in this? Could this be a template for other types of assets that fall in the sort of new energy-type sort of space. Could you sort of give us your thoughts on that particular transaction?
Ben Van Beurden : Yes. Thanks. Great, Martijn. Good questions. I'll do one, Jessica does the Raizen. Yes, I think, first of all, on oil, it is indeed still very important. The world will need it for a long time to come. Even if you believe the new IEA report, we still need to invest very significantly for the next decades in oil production. We've been very clear, we want to have a high-quality oil and gas portfolio that will indeed see sort of 1% to 2% decline on the oil side over the next decade. But we wanted to be a high-enough quality portfolio that will last well into the 30s and generates a lot of cash to fund the company. So that's point number 1. But indeed, it will be a mildly shrinking portfolio. And you're also right in the sense that, of course, over the last few years, many of our non-OPEC peers have not exactly invested in that space. So you could indeed ask yourself the question that if indeed oil demand stays strong or maybe even grows for some time, how is it going to work out on balances? You could even argue, by the way, but OPEC has the capacity to bring back all the volumes that are going to be needed there. Now I'm not going to speculate on what will happen to the oil price. I think that's too hazardous. But I wouldn't be surprised if for a few quarters to come, we are going to see relative tightness in oil markets, which, well, I would imagine is going to help us fund our strategy even better. Jessica?
Jessica Uhl : Good. So in terms of Raizen. Raizen, of course, is an important part of our portfolio and our downstream, if you will, strategy in terms of our access and participation in biofuels. It makes us one of the most significant players in the sector. Because of this partnership with Cosan that you referenced, it's gone incredibly well for us, and we're very pleased with the performance of that business. And it's been growing quite steadily over the last couple of years. And in terms of the IPO, it was another way of accessing capital for us. I'd say it's a pretty distinct set of circumstances that makes that the right choice for this business. I wouldn't necessarily see it as a template. There'll be some participation in terms of our equity. It will be a minor change in terms of our exposure. But again, it's for us to participate in the Brazilian equity market with a very solid company aligned with our partners as a way of accessing capital to support further growth for Raizen, which we're very encouraged to do given the performance of the company.
Operator: Lucas Herrmann from Exane.
Lucas Herrmann : It's nice to see some of the value in your business being taken up today. Couple of questions, if I might. And just a follow-on, actually, from the last one, if I could start with Raizen. Are you taking any capital out? My presumption is not, but just to confirm. But questions themselves, Jessica, I wonder if you could talk at all about asset markets at the present time. You clearly have a lot of activities that you're looking to divest as you slim down to the core. And more generally, just on the pipeline of developments, usual question, can you talk a little bit about chemicals? What's happening in Pennsylvania? How Vito is developing? Just the new project pipeline and what -- where timings are at the present time.
Ben Van Beurden: Thank you, Lucas. I -- let me -- I think this is probably going to be a double, so let me say a few things and Jessica will supplement me. If -- correct me if need be. So no, we're not planning to take capital out of Raizen. This is basically funding a joint venture that has tremendous opportunities to continue to invest in second-generation bio projects, but also continuing to grow. You will have seen we have true Raizen done a very significant acquisition, adding 50% capacity to that venture. And we see also ways and means to continue to upgrade that business. So this is basically a means to raise capital for that. And it's a great milestone that we are able to do that at this point in time. I'll have Jessica talk about asset values in a moment. But in terms of the projects, of course, you will appreciate that there has been a little bit of a slippage and a sandbag in the pandemic period. But for the projects that you have mentioned, it is -- I'm actually very, very pleased with how we have been able to deal with the pandemic. So Vito, which is being constructed in the yard in Singapore, actually is doing very well, and we are picking up pace very quickly after maybe a few difficult months in the yard. And on Pennsylvania, you can imagine having 8,000 people on site. And in a relatively short period of time, reducing that to a few dozen is quite a significant slowdown. But also now we have been able to bring back, again, almost to near full complement the construction crews, which we have to do in a very careful way, as you can imagine, simply because there would not be capacity enough in the county to deal with a mass outbreak, which we haven't had, by the way. So again, I think tremendous resilience from our project teams to run these projects. Same is true for the onshore construction in Kitimat for LNG Canada. So I'm -- all together, despite the fact that we have indeed seen an impact from the pandemic, I'm incredibly pleased with the resilience that our teams have shown. The pipeline of projects, I think, is probably best if I refer you to the slide pack that we have posted. There's actually quite a few good details in there. And if you have specific questions on them, perhaps Lucas, best to talk to the IR team. Jessica, what did I miss?
Jessica Uhl: That was good. I believe with Pennsylvania, we had our first electrons as starting up the power plant there. So I think things are moving forward really well at the site, particularly given the COVID backdrop that Ben just described. In terms of the M&A market, it's proven to be very healthy this year, healthier than we expected. There was a number of assets that we had in the funnel in terms of potential divestments that we were expecting. We wouldn't really get traction on until '22, '23. Those have been advanced. And that's -- you're seeing some of that come through. And hopefully, we've got a few more that we're working that we can land in the second half of the year. And I'd say that's true in our Downstream assets as well as in our Upstream assets. So I'd say people are responding to, I think, the uptick in the economy and are feeling pretty bullish around the sector when it comes to an M&A perspective. So very pleased with our delivery there.
Ben Van Beurden: Yes. Very good. Thank you. And just on – you talked about Vito, but of course, very important also to bear in mind that we just sanctioned another project, Project Whale, in the Gulf of Mexico, which will be an 80% replicant of Vito. So again, you will see that we are still very much taking advantage of these opportunities as well. Anyway, thanks, Lucas.
Operator: Paul Cheng from Scotiabank.
Paul Cheng: Two questions, please. Maybe Ben, can you talk about Nigeria? You guys had mentioned that the onshore operation, given the change in the -- or that the continued deterioration on the situation there, that you're looking for -- potentially for asset sales to see if there's any progress on that. And also, just curious that, I mean, you still have the LNG operation in Nigeria as part of the core. But if the political environment is really, in your opinion, that deteriorating, why you think that the LNG operation or the gas side is not going to be impacted? And if that's the case, should that still be considered as part of the core for you? So that's the first question. The second question is related to Iran. If that's a new care deal between U.S. and Iran, I think in the past, that Shell has been investing in that country. But given your new business model, even with a new care deal, will Iran still be an attractive place for you to go back in? Or I mean how the new model we're looking at a opportunity like that?
Ben Van Beurden: Thank you very much, Paul, and good morning to you. I think I definitely have to take the Iran question. But let me also say a few things about Nigeria, which I'm very, very close to. So on Iran, even last time around when there was an opening and there were opportunities for us to go in, we did indeed participate in discussions, but we were very cautious for obvious political reasons. I think this time around, not only would it not be any different, but of course, we also have different investment strategies. So I think the chances of us really actively pursuing oil development, say, in Iran are probably lower than they were before. But let me not get too much ahead of myself because there is actually, of course, at this stage of the game, nothing whatsoever going on. On Nigeria, we've been very clear. Nigeria is completely onshore oil, is completely outside our risk appetite. We have been, I think, quite heroically trying to deal with an incredibly difficult security situation in the delta, and we have concluded that there is no way we are able to turn that around or to insulate ourselves from the banditry that is basically happening there. So indeed, the discussions are now progressing with the federal government of Nigeria. We have been talking this through quite extensively already with the Minister of State for Petroleum, with the GMD of NNPC and with other stakeholders. And our plans are very firmly that we need to get out of onshore oil or as a matter of fact, onshore. That will progress. It's not necessarily just asset sales. We're looking at all sorts of other ways as well that are not only certain soon, but also able to be executed in a way that leaves a positive legacy behind. Now on LNG, that's indeed also in the delta. It's on Bonny Island. And actually, the whole security situation there is a different ball game altogether. Nigeria LNG is very well run. Bonny Island is a very stable oasis, if you can call it that, in the delta. And of course, it's a whole lot more difficult to steal LNG compared to stealing oil. So we actually haven't had any significant issues when it comes to the Nigeria LNG. And it is, of course, a very good contributor to our financial performance.
Operator: Irene Himona from Societe Generale.
Irene Himona : And congratulations for the decision on investor distribution. My questions are on the Upstream. In Q2, if we exclude -- if we leave out the provision reversal, it seems that your Upstream unit profit margins rose sequentially, very, very substantially about 24% for a 13% higher oil price. And I wonder if you can talk around the evolution you're seeing in your unit costs in that business. And the other question relates to cost inflation. Obviously, we are seeing a lot of price increases in metals, commodities and so on. I wonder how your procurement side is protecting you from that potential cost inflation. Do you have, for example, long-term contracts that insulate you for a period?
Ben Van Beurden: Yes. Thanks, Irene. Let me make a beginning on the second question, and then Jessica will no doubt be able to add to it and then also take the first question. So indeed, cost inflation is something that we watch very carefully. We have been very good at taking cost out. But of course, we need to be very mindful that it also can come back. I think so far, in most categories, we are actually seeing very modest cost inflation. And the areas where perhaps the inflation is the most profound is maybe in steel and logistics. But in steel, of course, from a significant drop, if you've seen before. And logistics, you can imagine, of course, is getting a little bit more challenging, but so much recovery taking place. But you're also right, is that, of course, with many of our procurement activities being on the base of long-term advantage contracts, strategic contracts with suppliers, we are actually able to lock in advantages quite significantly. And therefore, in the main, we are actually seeing quite a modest effect of inflation on our spend. Jessica?
Jessica Uhl : Ben, I think, covered that well in terms of what’s happening on the cost perspective in the supply chain. In terms of Upstream and the margin improvement that you’re seeing, that’s been a core part of our strategy for that business, and a number of things are driving it. The first piece is our portfolio. We have actively managed and reshaped the portfolio to be focused on value over volume. We settled – we talked about that a lot in the last couple of years. And I think you’re seeing the benefits of that strategy and that portfolio shift in action. So we have a lot more access to high-margin barrels, and importantly, barrels that are available for the upside as the macro improves. So the first piece is what have we done from a portfolio perspective that gives us access to high-margin barrels that have upside. The second piece is on the cost side of the equation. Wael, who’s running that business, very focused in terms of driving efficiencies, and his ambition seems to grow each year. That’s coming through from a cost perspective, and that’s also contributing to the margin that you’re seeing. And of course, operational excellence, which is another piece of the Upstream story, and pushing availability and getting the most from our assets. I think all 3 of those levers are being pulled at the moment, and that’s what’s driving the improved margin that you’re seeing year-on-year.
Operator: Roger Read from Wells Fargo.
Roger Read: Just 2 questions I'd want to go to fairly quickly here. One is, I know you've reached the $65 billion net debt, and that triggered the share repurchase, congratulations and all that. What should we think about what you want to do with the balance sheet going forward? That'd be my first question. And then the second one, it's been kind of danced around a little bit, but basically, it's on the production front. I mean if we look at what is going on, and I know there have been pandemic curtailments and all that sort of thing, but we're looking at a fairly consistent stream in the Upstream and really the company overall of significant declines in oil and gas production and at a much higher rate than what is your long-term forecast. So I'm just curious, as we look over the next couple of years, some of that curtailment comes back, but what else is going on behind the scenes? It's not just asset sales or curtailment relative to the CapEx that was asked, I think, pretty much at the beginning of the call.
Ben Van Beurden: Yes. Thanks very much, Roger, and good morning to you. Jessica, why don't you take the first question on the balance sheet, what we're doing next? I'll talk a little bit more about production also in the sector.
Jessica Uhl: Okay. Good morning, Roger. So indeed, very pleased that we reached the $65 billion milestone by the second quarter, reflecting very strong macro -- not very strong, very strong performance and a improving macro and that coming through as we've spoken to earlier. In terms of going forward, we're very much committed to a strong balance sheet. What we'll look to manage the company to is within AA equivalent credit metrics. What that means in practice is in this macro environment, I would expect us to continue to reduce net debt by some $1 billion to $2 billion and even trajectory in terms of improving the net debt and the balance sheet further in the coming years. But of course, net debt is a function of overall cash flow generation. So these things need to go hand in hand. But the overriding message is we will continue to strengthen the balance sheet, and we will look to run the company within AA credit metrics.
Ben Van Beurden: Yes. And on the production piece, if I, first of all, talk about our own company, we’ve been very clear. We will not invest anymore at a level that just sustains this business on a headline basis. So when you go back to our disclosures in 2019, we said we would need $11 billion to keep Upstream where it is. And today, we’re spending $8 billion. So clearly, that means that we are going to high-grade our spend and going to accept a certain degree of decline. We said 1% to 2% decline per year in oil. We grow the percentage of gas a little bit into the mix, but it is inexorably a decline in oil. Now the spend that we have, the $8 billion, is very much focused on the 9 core positions. And within the 9 core positions, it’s very much focused on deepwater. So 80% goes to core, 70% of our spend goes to deepwater. And that’s pretty much how we intend to run this business going forward. Now I can’t talk about other companies. But I do believe that indeed, there is a certain degree of hesitancy to invest in the oil sector because of the uncertainties that we are currently facing and maybe some of the weaknesses that some companies have. Now we have decided to deploy our capital preferentially also in other areas, and some other companies have done the same. So altogether, indeed, it is not unreasonable to make the case that the whole sector is investing somewhat below what is needed to keep the production levels to where they are. Now again, let’s see how that plays out. The IEA has very been – very clear that indeed, we do continue to invest in the sector collectively in order to keep the world well supplied with energy. And we’ll have to see whether indeed companies collectively and the sector collectively are up for doing that. Thanks, Roger.
Operator: Lydia Rainforth from Barclays.
Lydia Rainforth: Two questions, if I could. And the first one, and it is, I'm afraid, to come back to the dividends and the reset there. I mean the ordinance or the explanation right here, it seems very, very similar to where you were in terms of April 2020 about the kind of the level of what the business can support. And I get that the macro part is better. And just to me, is the idea that you're much happier with the performance underlying of the business and in particular as well of energy transition where Shell is positioned [indiscernible] is the performance 40% better than you thought it might be? And then the second part is, we talked about this a number of times in the past, this idea of good costs, bad costs, good CapEx, bad CapEx. And the wonderful reality is that you can now do both. You can do shareholder returns and increase the pace of investment. Can you just talk about a little bit more how you're thinking about that and how you're interpreting it in terms of some of those investment decisions you'll be looking at those?
Ben Van Beurden: Thanks very much, Lydia. Let me make a start with the first comment, strong question that you had. Jessica will talk about the second one. Well, we'll be happier than expected. Well, of course, we've always been very clear that if the macro improves, we will see a better performance. And I think if you just do the correlations, you will indeed see that the upside that we always said was there with a recovery is now indeed playing through. I think what probably is the most significant part to be pleased with is actually the resilience of the company. Of course, if you go through a pandemic where you have so much disruption potentially, where you turn everything upside down and inside out in terms of your supply chains, where you have everybody from an office all of a sudden working from home, including people in our back offices. And bear in mind, we have 20-plus-percent of our people in places like Chennai and Bangalore and Manila all of a sudden now have to work from home. Yes, indeed, you ask yourself the question, do we have the contingency plans for that? And how will we see ourselves through it? And if you then look back on how we have managed to do so, I can only be incredibly proud and very grateful for the quality of our staff and the quality of our operations. So in that sense, yes, it is -- is it a positive surprise? Well, I'm very happy with it, let me put it that way. But of course, the macro is outside our hands. The fact that, that's come back, I think, is good news for all of us. And also gives us the confidence to think that the choices that we have made on distributions are resilient and robust and sustainable. Jessica?
Jessica Uhl: Good. Lydia, thanks for the question. In terms of how are we thinking about cash CapEx going forward now that we’re moving to a different phase of our capital allocation. We tried to provide a framework that was clear in terms of how we want to run the company and what our intentions are as we come out of the pandemic and as the world improves and certainly our cash flows grow, which we’ve taken today with that first step in terms of increasing shareholder distributions. So the framework was dividends and base cash CapEx reaching $65 billion, which we’ve achieved. That then gets us to the third priority, increasing shareholder distributions. And then the fourth priority, which is additional cash CapEx and further strengthening of the balance sheet. We’re only getting to the third priority today at this point in time, and we’re going to keep cash CapEx of $19 billion to $22 billion in 2021. But as we go into 2022 and if the macro continues to perform as it currently is and the company keeps delivering, we’ll be able to move to that fourth phase. And how we’re thinking about that fourth phase – with that fourth priority rather is that we need to optimize our capital allocation at the group level. We need to make sure that we’re providing a compelling return for our shareholders, which, hopefully, today was an important step forward on that. The second piece is to ensure we’ve got a strong balance sheet. And the third piece is to grow. And we need to make sure we maintain and serve all of those priorities through time. When we move to the next phase of cash CapEx, we want to do that in line with shareholder distributions. That’s why we put shareholder distributions to the third priority versus, let’s say, the fourth priority. And so I would see a relationship between those 2 things. But importantly, above that is ensuring that we maintain a disciplined, measured approach in that next step-up of cash CapEx. And so we indicated before that next step-up would be somewhere between $23 billion and $27 billion. We’ll provide more guidance in terms of what we expect in 2022 in the second half of the year. But that’s an indication in terms of what we’re thinking. The next step-up needs to be measured. But I wouldn’t necessarily indicate that it would be at the high end of that range at this point in time. It’s important for us [indiscernible] through each phase of this in a very disciplined way, demonstrate we are driving the returns that we want to see from our cash CapEx. But it is important for us to invest in the company, continue to grow investments to support the energy transition, and I expect we’ll have some pickup of that in 2022.
Operator: Alastair Syme from Citi.
Alastair Syme : It is very much a follow-up to the last question. And so just to clarify, even if you had an incremental dollar of capital as per that priority for, is there a specific business area that we would go into? Where does that allocation happen across the business?
Ben Van Beurden : Yes. Thanks very much, Alastair. Let me take that question. So I think it doesn’t necessarily always work by the incremental dollar, and it’s not necessarily there for finding where do we have the highest return. Ultimately, that’s not the way decisions present themselves in a company of our size and makeup. So what we are doing is very clearly, when we lay out the allocations on what we call level 2, so below the sort of shareholder balance sheet and cash CapEx level, we basically say, “This is where the strategic priorities of the company are. This is what we aim to achieve in our portfolio. These are the other business objectives that we have. This is where our risk appetite is.” And now we allocate a certain amount of capital to these particular sectors of the company, whether that’s Upstream, Integrated Gas, Chemicals and Products or whether it is the renewables and energy solutions business, biofuels, hydrogen, CCS, et cetera. And of course, we have an idea of what the opportunity set is. So if we don’t allocate money to those businesses that don’t have opportunities, we’re very clear about what the return expectations are. But we decide the mix of the cash CapEx on the basis of the strategy that we want to pursue. And what we have been saying is very clearly, $19 billion to $22 billion is made up of this breakdown, and you will find it on the slides that we have also published this morning. And it’s the same as what we said back in February. And when we go to the next phase, we will give you a breakdown of where we think the level 2 capital allocation will go to at that point in time. What we can already say is we will have a preponderance to invest into the growth pillar of our business. So in other words, the customer end and where we believe the future of energy is going. But at this point in time, it would be premature to just say the next dollar will go there. Thanks, Alastair.
Operator: Peter Low from Redburn.
Peter Low : Just another on the macro outlook. You struck a very positive tone today, which is welcome, but quite a big change from a year ago. Can you perhaps outline what's led to that change and what it is you're seeing in your markets in particular that's given you this new found confidence? And then just on the cash CapEx for this year, it's currently annualizing below the bottom end of the $19 billion to $22 billion range. Is that simply a result of phasing? And should we expect a step-up investments in the second half. And perhaps what drives that? Is it work presuming on projects following the end of COVID restrictions? Any color there would be helpful.
Ben Van Beurden: Yes. Thanks very much, Peter. Jessica, why don't you talk to the second one and I will end with a positive tone.
Jessica Uhl: Excellent. So I think, Peter, you've touched on the points that are relevant. Indeed, the first half, a little bit lighter in terms of CapEx. That's not unusual for us that we have a bit of a pickup in the second half. And as you mentioned, particularly post-COVID, they're still working -- we're still working through supply chains, getting staff back at sites, et cetera. So that is also impacting some of the spend. And we would expect a step-up in the second half of the year. That being said, we are continuing to drive capital efficiency and we're getting more for each dollar, but that's not so much the driver this year. It's more about pace and timing. And again, that will pick up in the second half of the year. Ben?
Ben Van Beurden: Yes. Thanks. And Peter, to your question on what's the difference between last year and this year, well, last year, we were at the beginning of a pandemic. And this year, it feels that we are at the end of the pandemic. Last year, when we were looking at what was going ahead -- what was being ahead of us, I think it was a time of prudence. And we felt that our financial resilience could be significantly at risk, knowing what we knew at that time could happen in the pandemic. And therefore, we had to take some really bold decisions, and we did. So we took out $20 billion of outgoings in that period. A lot of it in capital, a lot of it in operating costs. We contained our working capital very, very significantly. That was the first $10 billion. And then indeed, unfortunately, also in terms of shareholder distributions. Now what happened as a result of it is we have seen that we could not only preserve the financial resilience of the company, we could actually improve it. So you will have seen since Q2 last year, we have paid down our debt by $12 billion. At the same time, by the way, absorbing a very significant amount of working capital. And that shows how much needed and how prudent these measures were. But at the same time, we've also seen how well the company has performed. Incredibly well from a people perspective, incredibly well from a asset resiliency perspective, incredibly well through the supply chains that we have. And now we are looking not only at a pretty sort of positive experience from that perspective, but also a very positive outlook in the macro. The vaccinations are working in many of our very, very profitable markets. We see a tremendous resurgence of volumes, whether it's oil or gas or chemicals, et cetera. And therefore, there is, I think, grounded reason for optimism. And that is basically what you see back in our results today and our decisions today, confidence in the future as well. And with that, I would like to close it. So thank you again for all of you attending. Thanks for your questions. And I hope that in the last hour or so, we have given you some insights into how we're getting on about our strategy. What about the shareholder distributions, how do they come about, et cetera, but also the performance of the quarter as such. So what’s best for me to do is to wish you a very pleasant end of the week. And I hope you and your families stay safe and stay well. Thank you very much.
Operator: And this concludes the session. Thank you for your participation. You may now leave the call.